Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hibbett Sports, Inc. Third Quarter 2014 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, November 22, 2013. I would now like to turn the conference over to Mickey Newsome, Chairman of the Board. Please go ahead, sir.
Michael J. Newsome: Thank you. Good morning, everyone. I am Mickey Newsome. And also with us is our CEO and President, Jeff Rosenthal; and our Senior VP of Finance and CFO, Scott Bowman; our Senior VP of Marketing & Merchandise, Becky Jones; and our Senior VP of Store Operations, Cathy Pryor. We will all be available for questions. We appreciate you being on the call today, and we appreciate your interest in Hibbett Sporting Goods. Before we start, Scott Bowman will cover the Safe Harbor language.
Scott Justin Bowman: Thank you, and good morning. In order for us to take advantage of Safe Harbor rules, I would like to remind you that any projections or statements made today reflect our current views with respect to future events in our financial performance. There is no assurance that such events will occur or that any projections will be achieved. Our actual results could differ materially from any projections due to various risk factors, which are described in the company's press release and SEC filings.
Michael J. Newsome: Thank you. Next, our President and CEO, Jeff Rosenthal, will speak with you.
Jeffry O. Rosenthal: Good morning. As you know from our press release this morning, our third quarter earnings per share was $0.66 a share. The week shift associated with the fiscal calendar resulted in approximately a $0.11 reduction in earnings per diluted share for the period ending November 2. Overall sales increased 2.5% to $208 million compared to $202.9 million a year ago. Comparable store sales increased 4.8% on a calendar basis. The week shift associated with the fiscal calendar resulted in decreased revenue of approximately $14 million, or 7.1% in the third quarter. The company narrowed its guidance for the 52 weeks ending February 1, 2014, and expects to report a range of $2.68 to $2.77 earnings per share with an increase in comparable store sales on a calendar basis in the low single-digit range. Comps by month were as follows: August, we were up 8.7%; September, we were down 2.3%; in October, we were up 7.3%. The first 2 weeks of November, we were up low single digits. With the shift to Thanksgiving and our launch calendar, we are where we expected to be for November. From a real estate perspective, we opened 16 new stores, expanded 4 high-performing stores and closed 4 underperforming stores, bringing the store base to 904 stores in 31 states. For the fiscal year 2014, the company expects to open at least 72 to 75 new stores, expand approximately 15 high-performing stores and close 17 to 20 stores. The new stores continued to perform above pro forma, which gives us even more confidence that we can grow even faster. We already have more stores in the pipeline for next year at this time. There is no reason that we should not be a national sporting goods chain with over 1,500 stores. We are very pleased with our progress at our new wholesale logistics facility. We are tracking our progress to be on time for the spring time period. We delivered the solid comparable store sales in the quarter by having a strong Back to School driven by improved performance in footwear, apparel and accessories. Demand for our fall assortments have been positive, and our inventory is well positioned to take advantage of the fourth quarter.
Michael J. Newsome: Next, our Senior VP of Merchandise and Marketing will speak with you, Becky Jones.
Rebecca A. Jones: Good morning. We were pleased with the 4.8% comp performance for the third quarter. Footwear, equipment, activewear and accessories drove overall results. Kids apparel had a strong quarter and specifically, girls activewear benefited from a better in-stock position than a year ago. The kids footwear area also posted strong double-digit comps. Women's branded activewear grew low-single-digit comps, while women's footwear performance has been challenging. Men's branded activewear was slightly off for the quarter. Consumers are buying at the time it made its evidence and [indiscernible] sales when there is a co-staffing in our marketing area. The license apparel has been -- had a more challenging quarter, specifically tied to the downstream of snapback caps. Men's Collegiate license apparel was soft. However, the women's collegiate apparel had a very nice quarter. Pro MLB, NBA and NFL apparel performed well, and MLB apparel had a strong quarter, in part, due to the St. Louis Cardinals being in the World Series. Men's footwear had a positive comp growth in running. Strong products were Nike Free and Under Armour Polo. Of the limited pair in the market place, we are encouraged by adidas springblade and Boost running shoes. Men's lifestyle footwear produced a low single-digit comp as well. Basketball footwear performed exceptionally well across all genders and size ranges. Jordan products have been strong all year. Likewise, the men's fashion apparel has consistent, strong growth. Top-performing suppliers were Levi's and Brian Jordan. Football equipment and cleats had a very good quarter and the season produced consumer has extended. The baseball and softball business was basically flat, and soccer was down slightly. Backpacks and socks performed well during the back to school season. Overall sales for backpacks exceeded our expectations, and consumer demand for socks is robust. The merchandise planning, inventory management and marketing teams have worked collectively to deliver market by assortments. We are comfortable with our inventory position and poised to have a good holiday season in the fourth quarter.
Michael J. Newsome: Thank you. Next, our Senior VP of Finance and CFO will speak with you, Scott Bowman.
Scott Justin Bowman: For the third quarter, total sales increased $5 million to $208 million, an increase of 2.5% over the prior year. Comp sales on a calendar or like-for-like basis were up 4.8%. The week shift in the fiscal calendar due to the 53rd week last year resulted in lower sales of approximately $14 million in the quarter. Gross profit rate decreased 39 basis points in the quarter. Product margin decreased 7 basis points, mainly due to markdowns associated with managing our inventory. Warehouse and store occupancy deleveraged by 32 basis points. This deleverage was mainly due to the decrease in sales resulting from the week shift in the fiscal calendar. SG&A increased 122 basis points as a percent of sales in the quarter, mainly due to deleverage in salaries and benefits. Again, this is mostly due to the week shift in the fiscal calendar. Depreciation and amortization increased 13 basis points as a percent of sales in the quarter. The income tax rate for the quarter was 37.0%, which was slightly lower than last year's rate of 37.3%. Operating income of $27.4 million decreased 9% from last year and was 13.2% of sales versus 14.9% last year, a decrease of 173 basis points. Diluted earnings per share came in at $0.66 per share versus $0.71 last year, a decrease of 7.9%. The week shift in the fiscal calendar resulted in an approximately $0.11 reduction in diluted earnings per share, which is similar to the positive effect we experienced in the second quarter. From a balance sheet perspective, the company ended the quarter with $69.9 million in cash versus $75.3 million last year, with no bank debt. Inventories increased 11% over last year and were 4.2% higher on a per-store basis. We spent $22.3 million in CapEx for the quarter, including approximately $18.6 million for new wholesaling and logistics facility. Also for the quarter, the company bought back 134,000 shares for a total of $7.1 million. At quarter end, we have approximately $231 million remaining under the existing purchase authorization. Although we will provide full guidance at our year-end conference call consistent with past practices, I would like to highlight a couple of factors to consider for fiscal 2015. We will be transitioning next year to our new wholesaling and logistics facility. This will involve some additional costs during this transition, as well as some duplicate costs throughout the year. Our lease for the current facility terminates in December of next year. Additionally, the depreciation on the new facility will start in the middle part of next year. As the Affordable Care Act rolls out, we forecast that medical expenses will increase as a result of increased enrollment, along with the various charges that are embedded in the act. We initially estimate that these factors could have a negative effect of approximately $0.11 to $0.12 per diluted share in fiscal 2015. Of course, we will include these items when we provide our fiscal 2015 guidance on our fourth quarter call.
Michael J. Newsome: Thank you. Operator, we are ready for questions.
Operator: [Operator Instructions] And our first question comes from the line of Sean Naughton with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: So just a couple of questions. I think, the innovation pipeline that you -- we've obviously seen a really strong and very robust innovation pipeline. Are you -- you continue to see that pipeline being filled by the brands at the rates to support the comp expectation you're looking for moving forward? Now there are specific releases in the fourth quarter that could really move the needle here this holiday season.
Rebecca A. Jones: I think that for the fourth quarter, the pipeline from an innovation perspective is really the product is in the store today because we're prepared for our holiday sales at this moment, and it really is a continuation of what was brought out from back to school. We do feel really good about what's out there. We also feel good about the product that we saw for the first half of next year, being pleased with where Springblade performed in limited doors. We feel like that's an opportunity going forward. And we see some really nice product coming out of both Nike and Under Armour from a footwear perspective. So it's -- I'm pretty comfortable, really, with what we've got coming towards us at this moment.
Sean P. Naughton - Piper Jaffray Companies, Research Division: And then obviously, there is some chatter about the gaming console launch that's kind of upon us here with the 2 different consoles. Is there anything during the holiday season when you look back over your business over time that these have had an impact on your business historically? Or any commentary there would be helpful, just given the large magnitude of dollars and probably overlap with some of the consumer spending.
Jeffry O. Rosenthal: We're not really concerned with that. Looking back on the past, as long as there's good innovative product, we feel really good about some of things that Becky mentioned. And basketball continues to be extremely strong, so we're not concerned about that.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay, that's helpful. And then just lastly, a -- could you break down the composition of the -- of the comp that you posted in the third quarter between the traffic and some of the ticket items as well?
Scott Justin Bowman: Yes, the average ticket was up mid-single, and we did have slightly positive traffic, which was a good sign. If you remember on last call, we were up mid-single in ticket and down mid-single in transaction. So for this quarter, it has moderated, and transactions were actually slightly positive.
Operator: Our next question comes from the line of Rick Nelson with Stephens.
N. Richard Nelson - Stephens Inc., Research Division: Can I ask you to turn over how you see the consumer as we head toward the holiday? Some of the other retailers have expressed more tepid outlook, I guess, for a holiday.
Jeffry O. Rosenthal: Well, Rick, as we've got into third quarter back to school, we felt good about the people having to come out and buy shoes and apparel for back to school. And then as we guide into September and October, if you put the 2 months together, it slowed a little bit. And you put the 2 -- it is about 1, 8 comp for September and October. I think that's going to happen a little bit again, and then we'll see a really -- the 5 days before Christmas I think we'll really peak and we'll see it similar to back to school. And -- but it's still a little tough out there as you see, a lot more people working part-time jobs and some of that. But we feel good about where our assortments are and the new products that are coming out, that we should be okay.
N. Richard Nelson - Stephens Inc., Research Division: Perfect. Also interested in the competitive environment. I know one of your -- another sporting goods retailer has talked about stepped up promotions. Have you seen that? And I guess what sort of promos do you have in your toolbox, should you need them?
Jeffry O. Rosenthal: Yes, from a competitive standpoint, really, we've based most of our markdowns or promotions off of what we've planned. We do it based off of sell-throughs. So really, we don't react really to what our competition does. We really do what we think's right for our business and keeping our inventory in line. We do have some planned promotions for holiday that we always have. And if business gets a little tough, we could do some things such as mobile or texting and some of those type things. But we react more from what our business is dictating, not necessarily what our competitors do, especially that we're in smaller markets and we don't have to overreact.
N. Richard Nelson - Stephens Inc., Research Division: Got you. And then finally, if I can ask you about the fleece category, North Face in particular, are you stepping up the number of doors or your commitment there year-over-year? How might that compare to prior year?
Rebecca A. Jones: We do have a few more doors with North Face this year. It's not a significant increase from the prior year, so I wouldn't be looking at that as a huge advantage in regards to last year. But we're really pleased with the way that it's selling at this point in time. The consumer is still buying it.
Operator: Our next question comes from the line of Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Can you talk a bit about how -- about the -- are you getting improved allocations of like key products from the big brands, marquee products, and how much is that helping? And can you also talk about the launches that are coming up over the next few weeks? I believe and at least for the month of November, you've got a good amount, like about -- I would say over 60% of the business is probably still ahead of you. And then secondly, in your guidance, can you talk about if you've included the effect of the tax refunds, and how you're looking at the BCS Championships in your guidance as well?
Jeffry O. Rosenthal: Well, Sam, you're right. There is a couple of good launches that are coming up in the next couple of weeks that we feel good about. We do continue to work with our partners and we do get more allocation. And we don't really give that out, but we feel very good about where that's going from that. Also on the guidance piece, we don't have any of the tax money included in our guidance, so it is what that is. Alabama was a part of us -- next year, so it could affect us a little bit. Hopefully, the other school which I went to will be in the championship against Alabama, so I will help a little bit. But we're hoping that's what it is of Florida State, Alabama National Championships.
Scott Justin Bowman: But similar to tax refund, we didn't build that into the guidance.
Sam Poser - Sterne Agee & Leach Inc., Research Division: So if it is the Alabama -- you're -- basically you're assuming Alabama is a negative impact on the comp right now, assuming that you are...
Rebecca A. Jones: We did. We did. We never build a championship number into the next year because you just don't know if it's going to happen. So we do let that be over and above, if in fact it comes to us.
Sam Poser - Sterne Agee & Leach Inc., Research Division: So it may not be over and above last year therein again...
Rebecca A. Jones: No, you're right.
Sam Poser - Sterne Agee & Leach Inc., Research Division: But you told us about your guidance if it was in [indiscernible].
Rebecca A. Jones: Correct, correct.
Operator: Our next question comes from the line of Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: I would just -- Becky, I wanted to ask you, with the higher-priced running product, seems like you're getting some pretty decent rates on Springblade. I was curious to see just how you're thinking about the Flyknit, and overall, just the elevated price points in that category, with respect to your consumer?
Rebecca A. Jones: The one thing that we have really learned with our consumer is that they expect premier product from us. When we stay at 100 and above and really look for innovation, we find that the consumer is really coming to us to find the product. Because of the markets that we're in, most of our competition truly ends up being family footwear. And so if you go into the lower price points, you actually are competing more than you need to. And by differentiating our assortments, we're seeing really good luck in that respect. So yes, Springblade and small number of doors, but really nice performance, same thing with Boost. We certainly see that [indiscernible]. I think it's more about to come and we'd have had it on the floor. It's been okay, but it's not been flying off of the shelves as some innovations do. But I do think it's for the future that once the consumer really understands it, they'll appreciate that. And we see some good product coming out of Under Armour in spring from an innovation perspective that's more premier, and we're pretty pleased with -- what that may bring to us.
Camilo R. Lyon - Canaccord Genuity, Research Division: I guess on our last point, both -- Under Armour talked about having a more stratified pricing strategy, so going from $80 to $120 and having something for every consumer price point. Nike's talked about having a reduction in their Flyknit platform on pricing. Are you going to partake in that, or is that something that's going to go more towards maybe the family channel or the midtier channel?
Rebecca A. Jones: I think that whenever you're over $100 that the family channel doesn't really choose to play there. And it certainly will support any innovation that comes at us from the larger brands because we know that, that will build business for the future. And certainly as it moves forward, some of it's great and some of it is just something that you put out there so that there's some consumer awareness and you start building towards it for the future. But we always welcome innovation improving a product.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. And then finally, Scott, to ask or to think about 2014 and the impact of markdown optimization, how do we think about the benefits that you should start to extract from that initiative gaining a little bit more presence in the business?
Scott Justin Bowman: For next year, yes, we could see some benefit at the end of this year. We're still rolling it out and it's still looking very well for us, as we see kind of the early read on the results. Next year, it will be more, more rollout in more categories. And so what I would expect to see is initially on those items under markdown optimization, you'll see an acceleration of sales and you'll see an acceleration of gross margin dollars. The actual rate impact is really later. Because in these categories, you really have to kind of get to the end of the cycle before you see that rate benefit, because markdown optimization typically will take the markdowns earlier. And then on the back end where you're not marking down the product as much as where you'll see the rate benefit. So, hard to quantify at this point, but I think next year what we'll see is definitely a little bit of acceleration in those gross margin dollars on those products.
Operator: Our next question comes from the line of Dan Wewer with Raymond James & Associates.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Scott, on the 2015 commentary about the new wholesale logistics facility in ACA costing $0.11 to $0.12 a share, correct me if I'm wrong. But when we were talking about this in previous calls, we were not including ACA. So are we...
Scott Justin Bowman: That's correct.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: So that's $0.02 or $0.03 a share. Are we still thinking the logistics facility as $0.09 for next year?
Scott Justin Bowman: The logistics facility will be closer to $0.10 to $0.11 a share. For this year, initially, I said $0.04 to $0.05. It's on the lower end of that. And so that makes next year in the $0.10 to $0.11 range for the wholesale and logistics facility by itself.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: So the ACA exposure is only about $0.01 a share then?
Scott Justin Bowman: Correct.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Okay, that's good. And then on the $0.04 to $0.05 exposure in 2014, perhaps I missed this in your third quarter commentary, but was there any impact in the third quarter?
Scott Justin Bowman: Yes, there were some impact in third quarter, and it was kind of as expected with that guidance.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: And then how much is lumped in the fourth quarter, that $0.04 to $0.05? So we think like $0.02 hit in the fourth quarter or...
Scott Justin Bowman: A little bit less than that.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Yes, okay, that's helpful. And then the second question I had is with respect to the new wholesale and logistics facility, is it your thought that once that is completed, that you will begin to explore an e-commerce strategy? Or is the company still thinking just the lack of profit visibility from e-commerce suggests that maybe you don't go down that path?
Scott Justin Bowman: Right now, Dan, we're putting together a road map of what that could potentially look like for Hibbett. So we're kind of in the early stages of taking a hard look in that -- at that, really understanding what that could mean for our business. And I think the important thing to note for us is that we're going to take really a holistic approach as we look at that. We know that there's some top line potential there, but we want to look at the profitability side, ROIC side. But I think the point is, is we're starting down that road to put that road map together, so we can have a defined point of view on that topic.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: So initially, there are not any CapEx investments to support e-commerce fulfillment?
Scott Justin Bowman: No. There's really not at this point. We continue to look for things that could give us some infrastructure, should we go that direction. But for next year, you really shouldn't expect any CapEx being spent on that initiative.
Operator: Our next question comes from the line of Peter Benedict with Robert W. Baird.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: Yes, 2 questions. First, just got on the 32 basis points of deleverage this quarter from the warehouse and occupancy, I understand the calendar was there, is that split kind of evenly between the 2? Or was one noticeably more impactful than the other?
Scott Justin Bowman: The store occupancy was a little more impactful. The warehouse cost piece of it was less impactful, and part of that is just due to some efficiencies we've gained in the warehouse. Becky's done a terrific job on managing the flow of product through that facility, and that has a positive effect on labor, and so we're seeing some nice efficiency gains in that it's blended some of that impact.
Peter S. Benedict - Robert W. Baird & Co. Incorporated, Research Division: And then just on the square footage, I mean, it was up -- it looks like it's going to be up a little over 6% this year. It was up 5% last year. Is it -- the potential for further acceleration as we look out into '14 and '15? I mean is it something that can get to 7%, 8%? Or how are you guys thinking about that going forward?
Jeffry O. Rosenthal: Yes, Peter, we're looking to grow again next year, probably around that 7% range or better. So we feel good about where we are. We already have a lot more deals in the hopper for next year already. And as -- when we get to our March call, we'll give a little bit more specifics. But you're on the right track and we will accelerate that a little bit.
Operator: Our next question comes from the line of David Magee with SunTrust.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: A couple of questions. One is, with regard to the comp in the third quarter, I guess for Scott, what's the best comparison number to sort of put that against for last year to get a 2 year stack number?
Scott Justin Bowman: Yes, for last year, the best comparison, the reported comp was 6.4%. And so that the weeks were a week earlier last year. So if you go to last year and you move that year and the prior year forward 1 week, it's more like a 6.1% comp if you -- and that's kind of like-for-like through those years.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then would you happen to have the second quarter comparison in front of you, by chance?
Scott Justin Bowman: Yes, for the second quarter, it was more like 4.3%. And that's a little bit different than what's in the release because it's talking about kind of 2 different things. 4.3% in Q2 is really the like-for-like comparison. If you pull fiscal '13 in, fiscal '12 up together, that's what the comp would have been if you line up the calendar that way.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Okay. With regard to next year, do you -- are you seeing much difference in terms of the real estate pricing for new locations for 2014?
Jeffry O. Rosenthal: David, our real estate costs and our rent stayed about the same. We really haven't seen an increase, really, at all. Our rent the last couple of years has really been pretty consistent. Really haven't seen that.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then regarding the facilities and health care costs for next year being $0.12 combined, this year, you are sort of at $0.05 impact. So we're really thinking about a $0.07 incremental impact for next year. Is that the right way to look at it?
Scott Justin Bowman: It could be slightly more than that because originally, I said $0.04 to $0.05 this year. It's going to be on the lower end of that based on how the spending timing comes in. And so it's going to be on the lower end of that. But next year, we feel that it's going to be more in the $0.11 to $0.12 combined incremental to this year.
David G. Magee - SunTrust Robinson Humphrey, Inc., Research Division: And then in 2015, you would have a nice step down from that level, right?
Scott Justin Bowman: That's right. Yes, you will have the full year effect of the operational costs as well as the depreciation, but then you'll have the costs of the old facility dropping off.
Operator: [Operator Instructions] Our next question comes from the line of Mark Smith with Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: First off, as we look at new -- at store expansions, are you seeing any changes there as far as returns that you're seeing? And then how many of those do you still have an opportunity to expand?
Jeffry O. Rosenthal: Well, we still expect by year 2 to year 3 to get the same percent that we're getting currently. We still see that as opportunity. We've identified over 100 stores that we can still expand if the right real estate, the right deal becomes available. So we'll consistently look at that list. And as we continue to grow, I'm sure that list will continue to grow over time.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay. And then Scott, can you give us any insight into your outlook for tax rate going into next year?
Scott Justin Bowman: Yes, I mean, the tax rate should be about 37.5%. And really the one thing that we need to look at is work opportunity tax credits, these so-called extenders that are out there today. Those extenders have been extended, I guess, over the last couple of years. And right now, they're set to expire at the end of the year, which is a similar situation that we've seen the last couple of years. We feel that they will probably be renewed again when the end of the year draws near. But the 37.5% rate assumes that those work opportunity tax credits will get extended and is probably the most likely case right now.
Operator: Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Just a couple of questions. I was wondering if you could comment on your same-store sales performance and your strip centers versus your mall locations.
Jeffry O. Rosenthal: Anthony, they're about the same. They really weren't that big a difference.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Okay. And can you give us an update on your shoe walls? You've been doing some of that. Where are you with that? If you could just comment on that, that will be helpful.
Rebecca A. Jones: We aren't complete yet for the rollout. We should be complete as we get closer to the end of the year. However, the performance for shoe walls during the third quarter were pretty close to the corporate number that I'm [indiscernible].
Anthony C. Lebiedzinski - Sidoti & Company, LLC: Got it, okay. And also, can you give us an update on your -- some of the other IT upgrades like the business intelligence tools, what's the status of that?
Scott Justin Bowman: Yes, the business intelligence tool is proceeding as planned. We're close to getting that foundational layer in place. And what that means is getting all the data in the data warehouse and starting the ability to query up that data and some standard reporting. And so that should happen early next year. And then as we continue to build on that, we'll build some more customized queries that will give us deeper insight into the business. So it's proceeding as planned, and we're excited about what that will give us from a visibility standpoint.
Operator: Our next question comes from the line of Sean McGowan with Needham and Company.
Sean P. McGowan - Needham & Company, LLC, Research Division: 2 questions. First, have you guys given any thought to if and when there might be a need for an additional distribution center?
Jeffry O. Rosenthal: We're looking -- once we get further west and we have a concentration of stores, we probably need 200 to 300 stores more westerly before we would think about putting another one. So I would think that it would be -- it wouldn't be in the next 3 years. It would probably be 4 to 5 years that we would consider.
Sean P. McGowan - Needham & Company, LLC, Research Division: Okay, that's helpful. And then just generally, as you forecast the holiday season and into the first quarter of next year, is it your assumption that the weather in your markets will be what the sort of 10-year average has been, or will you just base it on last year? What are your thoughts on that?
Jeffry O. Rosenthal: I would think it's about average, but don't know.
Scott Justin Bowman: That's typically what we assume in our guidance is average, because we don't really have much else to go on than the averages, and that's usually what's built into our guidance.
Operator: And our final question comes from the line of Chris Svezia with Susquehanna Financial Group.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: So I guess first, Becky, just for you, on the product side, just curious. Number one, women's, the industry continues to trying to figure out the women's business here, but you mentioned footwear, I believe was down. Any thoughts why, what the issues are, products, just sort of your thoughts in and around that?
Rebecca A. Jones: We really think that part of our women's business is being taken by the girls side. Because if you look at the sizes on the upper end of girls, you can easily, as an adult, fit into that. And so we think that as we grow our girls business, which is growing substantially, but that may be impacting the women's business a little bit. In general, the offerings that we see in women's is not lacking in any way that -- it's the same offers that we get in men's. The styles are the styles. It just seems as though that the consumer is choosing to spend her money either on her kids or maybe on the husband. But and then on top of that, with the girls footwear business maybe just a little bit of an impact in that respect.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Okay. And then just on -- and then just on you made a comment about snapback hats, which I know has been -- historically has done well, just curious what's happening, are they moving to something else or is, dare I say, the sock business taking from snapbacks? Just curious.
Rebecca A. Jones: That's actually a good thought, because snapbacks were just incredibly hot a year to 18 months ago, and you just couldn't get enough on the floor to fulfill the need. We haven't seen a lot of newness in the caps [indiscernible]. So yes, on the flip side, socks have been phenomenal. And from an innovation perspective, if you could call it innovation, there is so much coming in regards to newness in socks from a fashion perspective, you know it's athletic. The consumers really are going there. And you can get a socks for $15. And so buy 2 pairs of socks instead of 1 hat, maybe.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Who would have known. And then just lastly, Scott for you, of the $0.11 to $0.12 next year, how much of that cash versus noncash could you -- in other words, what's D&A amortization? What's just actual operating expense related?
Scott Justin Bowman: About half of that is D&A. And keep in mind that the other half mainly hit warehouse costs, which hits gross margin.
Operator: Mr. Newsome, there are no further questions. I will turn the call back over to you.
Michael J. Newsome: Thank you. In summary, we are excited about our future in Hibbett Sporting Goods. We have a office foundation now and we will have the distribution center foundation next year to support 2,000 stores in the future. We've opened 41 new stores last year in net of closings and expanded 15 top-performing stores. This year we will open between 52 and 58 new stores net of closings and expand another 15 high-performing stores. Next year, we expect to open even more stores than this year. Last year and this year's new stores are performing more than 20% above pro forma. One big reason is, we have improved greatly in the IT area and we're getting the correct merchandise in the new stores based on geographic and demographic needs when the new store opens. In 1.5 years, we will have 1,000 stores. We have identified more than 500 additional new store opportunities in just 31 state areas that we are currently in, and our model will succeed in all states. Thank you for being on the call today and we look forward to speaking with you on March 14, 2014 at 9:00 Central Standard Time with our fourth quarter results. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.